Ben Allanson: Good morning from Stagwell’s global headquarters in One World Trade Center, New York, and welcome to Stagwell Inc.’s earnings webcast for the Second Quarter of 2024. My name is Ben Allanson, and I lead the Investor Relations function here at Stagwell. With me today are Mark Penn, Stagwell’s Chairman and Chief Executive Officer; and Frank Lanuto, the Chief Financial Officer. Mark will provide a business update, and Frank will share a financial review. After the prepared remarks, we will open the floor for Q&A. You are welcome to submit questions through the chat function. Before we begin, I’d like to remind you that the following remarks include forward-looking statements and non-GAAP financial data. Forward-looking statements about the company, including those related to earnings guidance are subject to uncertainties and risk factors addressed in our earnings release, slide presentation and the company’s SEC filings. Please refer to our website, stagwellglobal.com/investors for an investor presentation and additional resources. This morning’s press release and slide deck provide definitions, explanations and reconciliations of non-GAAP financial data. And with that, I’d like to turn the call over to our Chairman and CEO, Mark Penn.
Mark Penn: Thank you, Ben. Thank you to everyone joining us for our earnings call. The state of the Stagwell business is strong and getting stronger. We’re on the verge of renewed growth spurt as new business is climbing, client pullbacks seem over and the political season is heating up. The results for first half of this year puts us in solid shape to make or exceed guidance for the year as multiple sizable wins occurred late in the second quarter and in the first month of the third quarter that significantly strengthened our position for H2. Importantly, the industry and its consultants and gatekeepers are now beginning to view Stagwell differently. They see us increasingly as a full on competitor to the majors, and we are receiving far more opportunities that are in the $10 million-plus range. Last year, by this time, we had one. This year, we’ve had 11 of them. We are also very much a tech company’s tech company, and our client roster includes the biggest names and technology collaborating with us on how they can integrate AI into their consumer experiences. The result is a record smashing $113 million of net new business this quarter and LTM net new business of $324 million, significantly ahead of expectations. The win of both Chevy and Cadillac from General Motors for Creative was the largest single win in the company’s history. But the major wins have continued into Q3 with about another $50 million of wins, including Ferrero and Anomaly as well as with a significant global provider, hopefully, to be announced soon. These wins will come essentially at the midyear and will start to be reflected in the third quarter coming on top of what we have seen in Q2. In addition to GM, we’ve had major wins in the second quarter with Target, Macy’s, Delta Airlines and Zales. Further, the changes in the political landscape have supercharged our opportunities there as voters have again become fully engaged. We expect over 50% growth year-over-year in Advocacy. We achieved $671 million of revenue or 6% growth in the second quarter. This growth was led by 42% growth in Advocacy, 13% in the Stagwell Marketing Cloud, 9% growth in Creativity and Communications, 5% in Performance Media & Data. Digital transformation posted 2% growth, we remain confident over time it will get back to double digits as AI projects come. Demand from technology company is continuing to pick up as these AI projects begin to ramp. Earlier this week, we took a step to integrate two of our agencies, Instrument and Left Field Labs, into the code and theory network. This completes the process of scaling up engineering resources across Stagwell to take on bigger digital transformation projects. Our EBITDA came in at $86 million for the quarter. It’s important to recognize that in addition to acquiring companies, we are making significant investments in internal development and growth. On an apples-to-apples basis, we spent an additional $10 million on new business pitches, travel, entertainment, arcades experience and other onetime compensation expenses. On an overall basis, we are spending about $20 million a quarter on these growth initiatives, and they’re paying off with the new larger wins and with the Stagwell Marketing Cloud growth. On average, a top 25 client now spends about $24 million annually with us. Let me say that our Cannes’ initiative, which hosted over 7,400 industry participants, athletes like Travis and Jason Kelce, and even a private 90-minute chat with Elon Musk, was a complete success. It continues to boost our share of voice, now five times our market size, and recognition in the industry as a marketer who knows how to market as we bring together sports, sports sponsors, technology and creativity. I want to call out Beth Sidhu, our Chief Brand Officer and her team were leading a multi-agency task force, including team 72andSunny, Code and Theory, and others that worked in collaboration to show how effective we can be as marketers through this experience. This moment is a critical inflection point for the company. First, we are seeing success in our core strategy of scaling up to achieve larger client assignments as the key to long-term growth. Second, we are advancing our plans to bring on a DSP and SSP to give clients maximum flexibility in media placements as we build a unique content management platform to be known as Stagwell Live. And third, we are deepening our commitment to a global footprint that can unlock larger global assignments. We’re in the process of a significant expansion into the Middle East with two acquisitions and the appointment of the first senior advisor in the region. We’ve announced a deal to acquire LEADERS based in Tel Aviv, which expands our social media capabilities and technology, and it joins the Stagwell Marketing Cloud and offering full and self-service influencer marketing campaigns. Further announcements in the larger Middle East region are underway. Our technology initiatives are progressing well. We reached a critical milestone in our partnership with Google Cloud this quarter, launching new AI-powered features across our portfolio in Stagwell Marketing Cloud products, which were built using Google Cloud infrastructure and AI, including its Gemini models. Wonder Cave, our innovative text-messaging-based marketing platform, showed remarkable growth of 145% year-over-year as brands and advocacy organizations leverage this technology to engage a wide variety of consumers with one-on-one conversations at scale. In the quarter, the Stagwell Marketing team picked up notable work with Doctors Without Borders, CarMax and PayPal. SmartAssets, our newest start-up into its first financial product line. In the third quarter, we are launching our Harris Quest series of products, which allows Harris customers to undertake do-it-yourself surveys, and our new survey panel unlock surveys is gaining steam. Our around augmented reality experience is expanding its presence in stadiums across baseball, soccer and football bringing on major sponsors, including Target and Disney. We’ve established unique partnerships with performance-driven tech players in our space, including Nexxen, whose immersive suite of data solutions is now being integrated into our Stagwell ID Graph solution. We’re also partnering with Anzu to help marketers capture the opportunity in immersive in-game advertising. The collaboration will be led initially by Code and Theory network and expand to other firms who are sharpening their capabilities in the gaming category. Internally, we are investing heavily in AI and other tech products as a central innovation function. We’ve completed an initial assessment of needs and established a multiyear road map for products and internal efficiency tools that will enable our companies to capture the opportunities afforded by AI transformation. We’re already applying AI to tasks like processing hundreds of thousands of media bills we receive each year, and at corporate, we focused on AI applications to our central finance unit, improving our overall ability to stay ahead of. We continue to implement our cost efficiency measures. We will have about $13 million of leases that will fall off our rolls this year, and we are rightsizing HR, finance and technology departments across the company to generate approximately $30 million of additional savings by next year. We have kept our comp to revenue ratio in line and even reduced it from last year significantly. We’re keeping our long-term costs in line and improving productivity while we invest in growth. As to the planned disposition mentioned on prior calls, we had 18 first round bidders, so a transaction in the next few months is progressing and have consummated, will again point to the undervalued nature of our portfolio. We’re on track for a solid year in 2024. And these wins, along with our multiyear growth efforts will position us well going into 2025. Stagwell was started only eight years ago, and it’s been public for just three years, and we continue to grow and mature against our strategic goals and vision of transforming marketing with the right blend of technology and creativity. Today’s net new business number is conformation, we are on track and that the best is yet to come. Now I’ll hand things over to Frank Lanuto, our Chief Financial Officer, to walk you through some of our financial results in more detail.
Frank Lanuto: Thank you, Mark. Good morning, everyone, and thank you for joining us to discuss our second quarter results. As a reminder, if you would like to ask a question after prepared remarks conclude, please feel free to submit them through the chat function. Led by record-breaking net new business and robust growth in our creativity and communications, Advocacy and Performance Media & Data capabilities, Stagwell delivered solid second quarter financial results. For the quarter, we reported revenue of $671 million, an increase of 6% as compared to the same period in the prior year. Net revenue, excluding pass-through costs, increased 2% for the same period to $554 million. We generated record net new business of $113 million in the quarter, approximately 31% higher than the previous high for the prior 11 quarters since our merger. This brings our trailing 12-month net new business total to $324 million, another record and the sixth consecutive such quarterly increase. This was driven by a strong new business pipeline of increasingly larger global pitches. The average size of our wins increased 65% year-over-year, driven by a 57% increase in business deals above $1 million, a positive indicator that our offering is resonating strongly in the marketplace. Turning to revenue by capability. For the second consecutive quarter, revenue grew in four of our five principal capabilities. Performance Media & Data delivered $78 million in revenue, an increase of 5% over the prior year period. The growth was driven by continued strength in the consumer products and financial sectors and was further supported by a recent return to growth in technology over the past couple of quarters. Creativity and Communications delivered $317 million of revenue, an increase of 9% over the prior year period, driven by our Advocacy business, which grew 42% year-over-year to $72 million. We expect accelerating performance in Advocacy in the second half of the year as we ramp up the convention season and move towards the general election in November. Excluding Advocacy, Creativity and Communications grew a noteworthy 7%, driven by new wins in the consumer products, retail and communication sectors. Digital transformation continued its recent return to growth in the second quarter with revenue increasing to $163 million, a 2% improvement over the prior period. This has been driven by strong performance in Advocacy as the political year ramps up. Across verticals, we’ve seen improving trends in technology, driven by a combination of growth in existing customers and new wins as well as within the consumer space, which includes the recent AOR win with Fogo de Chão. Stagwell Marketing Cloud posted $65 million in revenue, an increase of 13% year-over-year, driven by Advocacy and our travel media business, which improved 19%, driven by stronger growth in the communications and retail sectors. And lastly, Consumer Insights and Strategy reported $48 million in revenue, a decline of 2% as compared to the comparable period last year, but reflecting a sequential improvement from Q1 as we begin to put the Hollywood strikes behind us. Quickly looking at our geographical breakdown, the U.S. saw revenue growth of 7% in the second quarter. This has been driven by robust growth in Advocacy, Creativity and Communications, and our Performance Media and Data capabilities. International revenue grew 3% year-over-year, driven by continued expansion in the Middle East and Latin American markets. Turning to costs, we made a conscious decision in the second quarter to invest in several initiatives aimed at building and converting our revenue pipeline into new business. Our SPORT BEACH event at Cannes in 2023 was a big success, contributing to the record-breaking net new business wins we have reported over the last 12 months. Given the positive trend, we increased our investment in the SPORT BEACH franchise this year. While still too early to quantify the success of this year's event, the level of new business opportunities coming out of the festival is unprecedented. We have also increased our investment in select new business opportunities. We are now tracking to be invited to more than $1.4 billion of pitches in 2024. Our other G&A costs are inclusive of certain unbillable customer expenses. These costs tend to grow in line with our net revenues. For both the second quarters of 2023 and 2024, our unbillable costs as a percentage of net revenue remain stable at approximately 6%. The increased investment in growth and client service costs pushed our G&A expenses modestly higher in the second quarter by approximately $5 million, to $113 million. This included approximately $3 million in incremental T&E expense. This results in a G&A to net revenue ratio of 20.4%, an increase of 60 basis points versus the prior period, although largely in line with our historical ratio. During the quarter, we awarded limited bonuses to key talent, which reduced adjusted EBITDA by approximately $5 million. Our staffing to net revenue ratio excluding bonuses, improved 50 basis points over the prior year to 62.8% as well as improving sequentially by 140 basis points. We continue to focus on controlling our labor costs closely while meeting the requirements of growing revenue. Our goal is to maintain a staffing to net revenue ratio of 60% to 65% throughout the year. And lastly, during the second quarter, we maintained our investment in the Marketing Cloud of approximately $14 million. Continued investment in our digital capabilities is integral to our strategy and remains a major investment priority for us as we work to build an industry-leading suite of tech products for the modern marketer. As a result, Stagwell delivered $86 million in adjusted EBITDA in the second quarter. This represents a 15.5% margin on net revenue. Excluding our cloud investment, our second quarter adjusted EBITDA margin would have been approximately 18.3%. Moving to the balance sheet. We continue to allocate capital efficiently to maintain a strong financial position. Starting with deferred acquisition consideration. We reduced obligations by approximately $43 million from the end of the second quarter last year to $71 million at the end of the second quarter in 2024. We remain on track to reduce our DAC obligations to approximately $40 million by the end of the year. We also acquired 7.8 million shares during the quarter at an average price of $6.30 per share for approximately $49 million. Our existing buyback authorization as of quarter end has $65 million in remaining availability. CapEx and capitalized software for the quarter was $17 million and broadly in line with our targets. We improved cash flows from operations by $70 million in the first half of 2024 relative to the same period a year ago, driven by improvements in our working capital management. As a result, we ended the quarter with $136 million in cash and $334 million outstanding under our revolver with a leverage ratio of 3.5 times. We continue to target a year-end leverage ratio of 2 times to 2.5 times. And finally, we are reaffirming our full year 2014 guidance as follows. Organic net revenue growth is expected to be between 5% to 7%. Organic net revenue, excluding Advocacy is expected to be 4% to 5%. Adjusted EBITDA is expected to be between $400 million to $450 million. We expect to deliver approximately 50% free cash flow conversion and adjusted earnings per share is expected to be between $0.75 and $0.88. That concludes our prepared remarks for this morning. I will now turn the call back over to Ben Allanson to open the Q&A portion of the call.
A - Ben Allanson: Thank you, Frank. Just a reminder, if you have any questions, please do submit them via the chat button at the top of the screen. We’re going to start with a question here from Jason Kreyer at Craig-Hallum. Can you talk a little bit about the changes in trends for new business wins? You’ve landed a record deal with 72 and Anomaly, saw a big uptick in larger wins this quarter. What do you think is driving Stagwell success in some of these larger engagements?
Mark Penn: I think overall, Stagwell is really being recognized now as the challenger holding company. I think we have established our image and brand. We held a recent meeting with search consultants, and they gave us the feedback that we’re -- we’ve put together just this incredible combination of talent and technology that really has a growing place in the marketplace. And I think that as we kind of roll out here over time, the word is spreading and what we’re really finding is more and more consultants and brands are coming to us and giving us larger and larger opportunities. That is the whole strategy of Stagwell as the challenger holding company, and as we scale up into more countries and more capabilities.
Ben Allanson: Right. I think just following on from the question about new business wins, Barton Crockett at Rosenblatt, just asks, when do you see some of these big wins positively impacting the revenue trajectory? And how do you feel about some of the pipeline to more into potentially in the second half of the year?
Mark Penn: Sure. Many of these wins came just at the end of the quarter. In fact, the GM one, I think, was like June 26th or so. And so these will come into play in Q3. We expect that these wins are really all online in Q3. And as I said, we had another significant raft of wins that probably won’t come online this month but will really start to come online next -- by next month. But we’re seeing now that the clients took a long time to make decisions. But once they make the decision, they want to get going.
Ben Allanson: Turning to Advocacy, and the question from Mike Ng at Goldman. With regards to political ad spending and targeted victory fundraising, could you maybe talk a little bit about whether we’ve seen some increased activity in the last month or so, given obviously some changes in the dynamic in the race?
Mark Penn: Yes. So we’ve seen 20% to 30% increases in the last month or so. Voters really thought the presidential race was over. They were pulling back. And now with the changes that happened on the Democratic side, voters have reengaged. As you can see in the polling, it’s a competitive race. And of course, when it’s a highly competitive race, it could go either way, spending, spending as I always say, go somewhat to Infinity. And so I think you’re seeing increasing engagement and expenditures on all sides.
Ben Allanson: Perfect. Digital transformation, can we talk a little bit about some of the trends we’re seeing in DT, maybe project spend? Obviously, been a little bit of a challenge at some points here today. But what’s kind of giving us confidence maybe in the back part of the year seeing the acceleration there?
Mark Penn: I think that we’re seeing some of our kind of most advanced properties and designers already helping tech companies figure out how consumers should interact with AI. Look, the big expenditures in technology is obviously AI. And I think all of the tech companies and the brands are experimenting with what the best way for that technology to be deployed. So we feel that, that’s going to really kick off years and years of enhanced digital transformation work. It’s not here yet. It’s beginning to trickle in, beginning to get some significant assignments. We’ve got a $7.5 million assignment just in the last month about how best to have AI interactive with consumers from big tech companies. And we -- I think that a certain point here, I don’t know whether it’d be Q3 or by Q1 of next year, I expect the floodgates to open on digital transformation capacity.
Ben Allanson: Great. Maybe just playing with that a little bit. Cameron McVeigh, Morgan Stanley, just a quick question here on tech clients. What are kind of maybe some of the things we’re hearing from them about spending tensions in the second half of the year?
Mark Penn: I think the competition for AI is on. I think that unlike one company that has social and another company that has work productivity software and another company another – you are seeing real all-on competition here for both cloud services and AI services. And that means tech companies are going to be spending really significantly to try to get competitive advantage here to really stake out their place in the marketplace.
Ben Allanson: Just flipping a little bit to the Stagwell Marketing Cloud. A question from Mark Zgutowicz of Benchmark. He asks, what’s your most promising SaaS or DaaS revenue opportunity you think over the next 12 months? And can we quantify this?
Mark Penn: Well, look, I think immediately you’re seeing our text messaging platform being used both by Advocacy and brands, right, as taking off. And I think that, again, oftentimes, there are little things that people don’t see that as you’ve seen in some of the sales and others that really have significant hidden value. I think we are spending a lot of immediate time on the research components. We just bought, actually, at an auction great technology that comes with about $9 million of revenue that we picked up for less than $1 million. But we believe that the most promising area here right now is the rollout of the research products. We’ve got about 130 large corporate clients, the Harris brand terminal. We’re adding do-it-yourself research. We’re adding AI-based analysis to it, and we’re rolling out those products. But again, we’ve also just bought leaders, which comes with, again, another significant raft of new business and another influencer platform. And I think we’re really beginning then secondarily to get all of our communications products together. But I think the emphasis right now that I have for the next few months is getting the research products fully out the door, I think that has the most immediate promise.
Ben Allanson: Another question, this time from an investor. And this is just talking about the second half of the year and the implied inflection in the business of the acceleration in organic growth in the second half of the year. The question really is what gives us that confidence in that inflection in organic revenue growth and that acceleration in the second half? What are some of those key drivers?
Mark Penn: Well, look, I think there are three key drivers. Number one, as I think I’ve emphasized in the call, we have had a flood of business wins at the end of the second quarter, highlighted by the first time by wins that include tens of millions of dollars at the same time on a multiple basis. Second, a lot of media and media margin is loaded in the back end. And third, a lot of the political season is loaded in the back end. So I think those three developments, I think give us confidence to reaffirm our guidance and kind of move forward with what I think are going to be a really good next two quarters based on those three fundamental factors.
Ben Allanson: I think the last question here and just a quick one on SPORT BEACH and the successes of the event. The question is from Jeff Van Sinderen at B. Riley. ‘What are you likely to emphasize at SPORT BEACH if you are going to do it in 2025? And, effectively, what are some of the inputs into potentially increasing investment, changing investment in that event [Indiscernible]?
Mark Penn: We are going to do a full review of how to move forward with what has been created in SPORT BEACH. It lives almost as a unique brand within our brand now, that brings together sports and brands and technology and creativity. And I think it may live beyond just Cannes in a way and take on a life of its own. So stay tuned as we carefully look at how we develop it. Again, as I always say, the old joke about a shoemaker has no shoes, but instead we are a shoemaker with shoes. I think that SPORT BEACH has been proof that when our companies work together, they can produce some amazing marketing. And I think that it was not just an experience for clients, it was an experience that clients could take away and say, Wow, this is the kind of company I want working for our brands.
Ben Allanson: Awesome. Well, that brings us to the end of our second quarter earnings call 2024. Thank you very much for joining us. We will look forward to talking with you again later on in the year. Have a good one.
Mark Penn: Thank you.